Operator: Good day, and welcome to Royal Gold's Fiscal 2018 First Quarter Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Karli Anderson, Vice President in Investor Relations. Please, go ahead.
Karli Anderson: Thank you, operator. Good morning and welcome to our discussion of Royal Gold's first quarter fiscal year 2018 results. This event is being webcast live and you will be able to access a replay of this call on our website. Participating on the call today are Tony Jensen, President and CEO; Stefan Wenger, CFO and Treasurer; Bill Heissenbuttel, Vice President, Corporate Development; Mark Isto, Vice President, Operations; and Bruce Kirchhoff, Vice President, General Counsel and Secretary. Tony will open with a brief overview of the quarter, followed by Stefan with the financial update. After management completes their opening remarks, we'll open the line for a Q&A session. This discussion falls under the Safe Harbor provision of the Private Securities Litigation Reform Act. A discussion of the company's current risks and uncertainties is included in the Safe Harbor and cautionary statement in today's press release and slide presentation and is presented in greater detail on our filings with the SEC. Now, I will turn the call over to Tony.
Tony Jensen: Thanks, Karli. Good morning and thank you for joining the call. I'll begin on Slide 4 with the summary of the quarter. We began fiscal 2018 with a strong steady performance. Royal Gold delivered solid cash flow generation, debt reduction and growth at Rainy River. Volume of 88,000 gold equivalent ounces was consistent with the year-ago quarter. Our reported revenue of $112 million reflected gold price that was down about 4% from a year ago. We generated $72 million in cash from operations, which was our second highest quarterly cash flow in company history; and earnings of $0.44 per share, top-most analyst estimates, principally due to lower expenses during the quarter. Our growing and sustainable dividend continues to be a priority for our Board and management team. We paid out $16 million during the quarter, equivalent to a 22% cash-flow yield. And we continue to strengthen the balance sheet. Over the last three quarters, we paid down $145 million of debt. Currently, all of our cash flow is dedicated to dividends and debt reduction. We already have a strong balance sheet. But it's getting even stronger to prepare for future acquisition opportunities. Today, we have about $900 million of liquidity to pursue new deals and we have no capital commitments. In my final summary remark, we congratulate New Gold, which declared commercial production at Rainy River on October 19. Our management team and Board travelled to the site in August, and we had a chance to meet with the construction and operations team and tour the property, just as they were finalizing all things to start operations. We are pleased with their progress and the pre-commissioning efforts, which certainly aided in the successful startup to-date. We want to make Royal Gold an investment for all classes, not just the precious metal class. We benchmark ourselves well beyond just the precious metal industry. And one of the elements that is important in all companies is diversification. Rainy River is our 40th producing property. Few investment opportunities are for such rich diversification with 40 unique sources of revenue and all of our producing properties are minerals. On to Slide 5, as we end - as we near the end of calendar 2017, operators of our principal properties have updated their full-year guidance projections. At Mount Milligan, Centerra experienced some on-plant downtime with the pebble crusher in SAG mill during the quarter. That throughput will be difficult to make up, so they have reduced their midpoint of their full year gold guidance by 11%. The calendar year copper guidance is unchanged. Centerra continues to expect a strong December quarter for both copper and gold as compared to prior quarters of the calendar year. And I'd like to remind you that Mount Milligan remains firmly in the lowest quartile of worldwide production cost and is a strong cash flow generator for both Centerra and Royal Gold. At Pueblo Viejo, Barrick increased the low-end of its expected gold production range from 625,000 to 635,000 ounces. And finally, at Wassa and Prestea, Golden Star has reiterated their full-year guidance of 255,000 ounces to 280,000 ounces. And I'd remind you that our current stream of 9.25% of gold produced will increase to 10.5% on January 1, 2018. Turning to our other sources of growth and diversification on Slide 6, our sequential additions of new volume remain intact. On the heels of the Rainy River ramp up, we expect Cortez Crossroads ore production and the startup of the Pyrite Leach circuit at Peñasquito next year. These three volume additions do not require any further front-end capital investment in our part. We're very pleased to see the progress that was made at Rainy River during the quarter. We invested $175 million in 2015, in return for 6.5% of the gold and 60% of the silver at a purchase price of 25% of spot for each metal. We will be delivering gold and silver monthly, so we expect our first contributions from Rainy River in the current December quarter. The mine has nearly 4 million ounces of gold and 10 million ounces of silver in reserves, which equates to a 14-year mine life. We continue to look forward to production at Cortez Crossroads next year, where we have a 4.5% net value royalty, in addition to a 5% gross smelter return royalty. It's a straight forward deposit with most of the ore volume dedicated to heap leaching. Barrick has been stripping the Crossroads deposit for about the last 20 months. And they have several more months to go before encountering ore. We anticipate more stable ore production from Crossroads in the second half of calendar 2018. Gold production will be lumpy, but in total 3.2 million ounces of reserves will be mined over a 9-year period. And finally, Goldcorp has accelerated its Pyrite Leach project. It was originally scheduled to begin production in 2019, but the startup is now been moved forward to the fourth quarter of 2018. Once the Pyrite Leach project is in operation, 40% of the gold and 48% of the silver now reporting details are expected to be recovered in the new circuit. According to Goldcorp, this equates to 1 million ounces of gold and 44 million ounces of silver over the current life of mine. Turning to Slide 7, we have some additional details about Rainy River's progress. New Gold started processing ore on September 15, and declared commercial production on October 19. To date, this has been a very successful startup. From October 1 to the 24, New Gold achieved a processing rate averaging 18,500 tonnes per day or 88% of nameplate capacity. Another milestone for the project was the completion of the Schedule 2 Amendment, which was obtained a few months earlier than expected. This further de-risks the startup and clears the way to finalize the construction of the main tailing storage facility. Once startup is complete, we expect that New Gold will return to evaluating Rainy River's longer-term potential beyond its first 14 years of mine life. New Gold has 200 square kilometer land package, one of the world's most favorable jurisdictions for mining activity. And on Slide 8, I'd like to just talk about our portfolio for a moment. One of our corporate objective is to further our portfolio diversification. And as I mentioned, Rainy River is Royal Gold's 40th operating property. So it's a good time to take a step back and look at the whole portfolio. While we are the smallest of the three largest royalty and streaming companies, in terms of market - and that's in terms of market capitalization. Our diversity in terms of number of projects is as good or better than our two larger competitors. We appreciate a large portfolio, because you never know when a new discovery can transform a mine, just as was the case for Cortez and Goldstrike. Our portfolio is 100% minerals and principally gold. Even with the effect of the new copper stream at Mount Milligan, 87% of our Q1 revenue was precious metals. Specifically, our revenue during the quarter was made up of 77% gold, 10% silver, 10% copper, and 3% other metals and minerals. Our revenue comes from traditionally favorable jurisdictions. 89% of our Q1 revenue was derived from properties in Canada, Chile, United States, Mexico and the Dominican Republic. The balance came from Australia and Ghana, also countries with strong mining traditions. Now I'll turn the call over to Stefan for the financial details.
Stefan Wenger: Thanks, Tony. On Slide 9, there is a snapshot of our debt reduction efforts over the last three quarters. At September 30, our net debt to EBITDA was just above 1.5 times, as Tony mentioned at the outset of the call, we're focusing on dividends, debt reduction and strengthening the balance sheet for future business opportunities. When we are at or below 1.5 times net debt to EBITDA. We'll have a decrease in our drawn interest margin to LIBOR plus 1.5%, and lower undrawn fees of 30 basis points compared to the 1.75% and 35 basis points that we are currently paying. Moving to Slide 10, I'd summarized our tax, DD&A and liquidity. Our effective tax rate was 22% in Q1. For fiscal 2018, we continue to expect an effective tax rate in the range of 20% to 25% in line with our actual fiscal year 2017 rate. DD&A was about $450 per GEO, at the low end of our original guidance. We continue to expect DD&A to be between $450 and $500 per GEO for fiscal 2018. We paid $16 million in dividends during Q1, resulting in a 22% cash flow payout ratio. We've paid down $145 million on our revolver over the last nine months with $50 million of that during the first quarter. At September 30, we had $916 million in total liquidity, an increase from $860 million last quarter. This includes $116 million of working capital plus $800 million available under our expanded revolver. In fiscal 2018, we continue to expect to pay down debt aggressively, while maintaining the increased credit facility to fund acquisition opportunities. And as always, we continually evaluate our capital structure to determine most advantageous cost of capital for future opportunities. Tony, I'll turn it back to you.
Tony Jensen: Thanks, Stefan. Well, let me conclude on Slide 11. Over the last 20 years of Royal Gold is delivered value for shareholders through significant share price appreciation, and 16 years of the growing and sustainable dividend, outpacing the price of gold and the S&P 500. We've gotten there by staying true to our lower risk royalty and streaming model. Focusing on extending our portfolio during opportunistic times and stewarding our shares by growing the company out of cash flow generation as much as possible. Today, we have a diversified portfolio 40 producing properties and decades of experience developing, royalty and stream transactions. In the future Royal Gold will continue to pursue the strategy. We will continue to focus on per share returns due diligently return capital to shareholders and to be prepared for future opportunities. Finally, if you've had an opportunity to read our recent proxy filing, you'll know that our Director, Craig Haase, has decided not to stand for reelection at our upcoming annual meeting. Craig joined our board back in 2007, and he ushered in a new era of governance for the company as our market capitalization grew from $720 million, when he joined, to the $5.5 billion we are today. He ensured that our governance programs aligned with that maturity. Craig has a deep expertise in mining law and is truly an expert in the mining and royalty business. Craig's guidance, attention to detail and his always independent thinking as well as his unwavering support and passion for the company will be dearly missed. We are grateful for his decade of dedicated service to our company. In short, I'll turn the call back over to you, and perhaps, we can open up the lines for questions, if there are some.
Operator: Okay. Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Cosmos Chiu with CIBC. Please go ahead.
Cosmos Chiu: Hi, Tony. Hi, Stefan, and team. And congrats on a very good quarter. You certainly beat my estimates and it's being reflected in the share price today.
Tony Jensen: Thank you, Cosmos.
Stefan Wenger: Thank you, Cosmos.
Cosmos Chiu: A few questions from me here, Tony, as you've talked about, you have a very strong balance sheet. You have untapped room on your line of credit. Could you maybe quickly comment on - I know you touched on it, but again, quickly comment on opportunities out there? What's a better opportunity at this point in time? Would it be in precious metals, base metals, and then other stuff, just maybe a general comment?
Tony Jensen: Thanks, Cosmos, happy to do so. We continue to see activity. And certainly, quieter than it was 24 months ago, but that was a very, very unique time in our company history. And I think we're back to business as normal. So we're seeing things across the board, both in precious metal and base metal. When I say base metal, please understand that I'm talking about streaming opportunities on principally base metal assets. So we're still seeing some opportunities in both of those areas. But, when I get asked that question, I kind of guide that the business size is probably somewhere around the $100 million to $500 million range, not the $500 million to the $1 billion range. It was 18 months ago. So we're still active. We still like some things. We covered some things. And we'll just have to see whether we can - we'll be successful at the right price point for our shareholders.
Cosmos Chiu: Sounds good. Maybe moving back to your current portfolio here, you touched on a few about, say, production guidance updates such as Mount Milligan, and then, whatnot. But looking at table 3, I would say the other ones that are sort of behind at this point in time with nine months completed now in calendar 2017 would your Cortez, GSR 1, 2 and 3, and Cortez NVR. Could you maybe comment on that, in terms of are you going to be looking for a much better Q4 calendar 2017? Or is that sort of you're not sure at this point in time?
Tony Jensen: Let me just put some opening remarks there, and then I'll pass it to Mark Isto, our Vice President of Operations, to see if he has anything further to add. But as you know, we're a bit of a swing producer there at Cortez if you allow me use that term. And their focus is principally in other areas, at the Cortez Hills property where we don't have a royalty interest. So we see the tonnage come in bits and spurts if you will. And I don't know that we have tremendous amount of confidence that they'll meet the annual guidance there. So I wouldn't suggest that you put in your model a large quarter. We're going to see a much more sustained production as I mentioned in the second half of next year when all of the major open pit equipment will be back over on the pipeline site, where we have most of our royalty interests. So would be my general remarks there. Mark Isto, do you have any more comments to add there?
Mark Isto: No. I think you described it correctly. I mean, we've seen a lot of variability in the forecast that they give us for our production for exactly the same reasons Tony mentioned. And that variability has occurred over the last several years. So I would not expect to have an overly different couple of quarters coming up.
Cosmos Chiu: Yeah, I guess, it's hard to say at this point in time. But in the past have you seen any kind of sort of - not underperformance, but if it was slower than what you had expected in a particular year, would it be followed by a year that was better than expected or it's too hard to kind of pinpoint at this point in time.
Tony Jensen: Yeah, let me answer your specific question with more of a generic answer and all good miners are going to mine the highest grade available to them. And so that's kind of what I mean by a swing producer, to fill the mill off and the additional tonnes will come from the lower grade areas where that's particularly in the South Pipeline in GAP area today at the pipeline site.
Cosmos Chiu: I got you.
Tony Jensen: So it's not a - the thing that - the only thing I can say there is the reserves there in the ground and they'll come out eventually. And, as the higher grade diminishes in the open pit, then the priority swing to the pipeline complex.
Cosmos Chiu: Yeah, okay. And, Tony, we had talked about base metals earlier and you talked about base metal mines as well. One base metal asset within your portfolio that, I guess, we didn't talk about today is Voisey's Bay, any kind of update on what's happening there, in terms of the legal issues or legal dispute? Clearly, it's a nickel and cobalt asset, and I would imagine, right now, it's a pretty good time to have a cobalt royalty.
Tony Jensen: Yeah, we're very, very active in the litigation at present. We have guided that we're going to be - we have a court hearing, a court trial date that's set for the second half of next calendar year and I'll be a little more specific about that today expect for September. And we are doing all things to be absolutely prepared for that at the present time. So there is a lot of activity that's going on there. The attorneys will call it the discovery phase, but a very much advanced in our thinking and preparation at this point.
Cosmos Chiu: Great, thank you. That's all I have. Congrats again.
Tony Jensen: Thanks, Cosmos. The next question comes from Stephen Walker with RBC Capital Markets. Please go ahead.
Stephen Walker: Thank you, operator. Tony, two questions. The first one, broadly speaking, given your technical background and experience with large scale plants, when you read through the lines at Mount Milligan, you got a 62,000 tonne a day plant that's struggling to get up to the rated capacity. You got issues with the SAG mill and the pebble crusher, not just this quarter but previously. Does this put up any red flags for you, when you look at it? As I say, when you put your mine manager's cap on, your engineering background, can you talk a little bit about kind of what you see happening there and how you see it being resolved? Bearing in mind obviously you're not the operator, but from a very high level what are your thoughts?
Tony Jensen: Stephen, thanks for the question and any chance I get to put my manager's hat back on, it's just a good day. But we are not the operators, so please take my comments appropriately. Look, I wanted to say in prepared remarks how good the project was doing. It's in the lowest quartile in the worldwide cash production. And I think they actually - all-in sustaining costs were $437 an ounce this quarter. I mean, it's just a fabulous asset. And yet, it kind of has a bit of the stigma that it's not performing well. Well, it's not performing necessarily up to the 62,000 tonnes per day nameplate capacity, but it's a very, very successful mine. I just want to lay that groundwork first, before entering into any other part of the conversation. We don't have - the things that we can't control in a deposit during the mine site, are the things that nature has put there, the grade and the volume and all of those things. And there is not an issue there, we don't understand that it's an issue with particular hardness of the material. The plant is a well-built plant, but there is truly a problem that Centerra is highlighting regarding maintenance, and if we look at the availability of the plan during the quarter. We would agree that it's not a number that we'd expect to see out of typically run plant. And now, we know we can do better. And so these are the manmade issues that we can work on. And I don't really focus very much on the throughput as much as I do on maximizing the recovery on an NPV basis. I think, there is not going to be a lot of difference at a reasonable throughput rate, will it get all the way up to 62.5%, I don't know. But I know, it can do a whole lot better than where is at today. If you can get another five points on availability that's a lot of tonnage throughput - tonnage per day basis. So those things will come along Centerra highlighted to us and to you on the call - their call yesterday that they've made some management changes there, they've made some system changes. And if we really look for some of the optimistic things that it happened on the projects since Centerra has come in, they only had a bit of time and the operators see it before they had to put out their guidance for the entire calendar year. And they have matured their geo-metallurgical models significantly now, which I'm sure, they'll continue to calibrate that, but it's going to be a better estimating tool for them, both in production and budgeting purposes going forward. So I think, setting proper expectation is going to be huge for all of us on Mount Milligan. And finally, I'd say, one of the things that hasn't been really discussed very much is some improvements in recovery since we've taken over. We've seen some nice tick-ups in the copper recovery and the gold recovery has ticked up, not as much, but certainly in the right direction. So I think, there is a lot of good positive news around this deposit. And as a mine manager, I'd be tickled to the operator. There's still a lot of low hanging fruits that can be harvested.
Stephen Walker: Great. Thank you. And just, if I may, the second question. You've talked about Crossroads, you mentioned several more months of waste stripping and then beginning to put ore in the patch here. That's early 2018 from the sounds of it with larger contribution of the back half of the year. As I understand it, and as I would model it for yourselves, looked to be building up pregnant solutions through the first half of the year. And so production to your credit really doesn't kick-in until the third quarter of do you expect to see some ramp up from day one early, call it, Q1 2018 calendar, and then, production from that point on increasing through to the back half of the year. Can you give us a sense on how you think that the leach contribution from Crossroads will flow through to your revenue line?
Tony Jensen: You have a very good understanding of it. It's - it will be back end weighted for sure. They're going to encounter pits of ore in the top part of the deposit that will go to the leach pad early in the year, but it won't be - in my understanding, it won't be material. And then the bigger volumes start coming in the second half of the year. And then, of course, you have all of your reach - leach residency time and everything else to be concerned with. So I would very much guide you later in the back half of 2018. And then, let me just touch base with Mark. I apologize, Mark, is not in the same office as us today, but I just want to make sure that, he has - if he has anything to add to that.
Stephen Walker: No, no. Your explanation is correct. That's - it's definitely back half weighted.
Tony Jensen: So does that give you enough, Stephen to go on?
Stephen Walker: That's very helpful. And Mark and Tony, just from your recollection, do you know if there is higher grade, either perch zones within that that could go to the plant or your understanding is it's fairly homogenous and everything goes to the leach pads?
Tony Jensen: No, no. There will be some tonnage that goes to the pad. If you look on the split between metal volume, what's produced in the mill, and what's produced in the heap leach pad, it would be a stronger percentage than it is on the ore volume, if you understand what I'm trying to say. So I don't know exactly what the breakdown is, but you should expect some of that volume of the 3.2 million ounces will be going into the mill.
Stephen Walker: Into the mill, okay. Thank you. That's perfect. That's very helpful. Thank you.
Tony Jensen: Thanks, Stephen.
Operator: Okay. The next question comes from Andrew Kaip with BMO. Please go ahead.
Andrew Kaip: Hi, gentlemen.
Tony Jensen: Hey, Andrew.
Andrew Kaip: Hi. Look, I just a follow-up on Stephen's question. That 3.2 million ounces, how long is that mine plan? How long should we expect production from Crossroads?
Tony Jensen: Well, it's a nine year mine plan, but I think that takes into some leach down time as well. So the heavy ore will be two years prior to the end of the mine plan. So you have some ramp up and ramp down. And again, since the mine is not restricted by - principally by the volume going through a confined mill, they can put as much volume as they need to in the encounter on the heap leach pad. So I really want to stress the lumpy word that I used that the 3.2 million ounces could be - could swing quite a bit. And as get into Andrew and the rest of the folks on the call will try to give a little better guidance, and what we're giving now, because I truly believe it could be a significant variance from year-over-year.
Andrew Kaip: Okay. Thank. And then, just another operational question. Wassa and Prestea. Prestea had a very strong quarter, and it somewhat offset weaker than expected production out of Wassa due to dilution. And I'm just wondering, you probably reviewed the project recently. What are your views on Wassa? And certainly, in particular, Wassa being able to get to above 2,700 tonnes per day, with the new outlook that they have?
Tony Jensen: Yeah, Mark has been watching this project very, very closely. He's had boots on the ground himself, probably every nine months or certainly not more than a year. And so he is as close as possible to this one. Let me pass that question to you, Mark.
Mark Isto: Yeah. Well, I think, they've reported that they're at 2,400 tonnes a day for this last quarter. And we think that achieving the 3,000 tonnes a day that they're talking about is very achievable. The infrastructure that they put in, their twin declines, if you will are good for 4,000 tonnes a day. They've had very steady progress on their still production, positive trends. So I think, it's all bodes well for them to achieve their forecasts of getting to 3,000 for sure, and possibly beyond, I think, it's very good.
Andrew Kaip: And then, just a dilution issues that they were running into that, you had a conversation with them about what exactly was taking place?
Mark Isto: Well, they're still mining longitudinal stopes, which I think is part of the issue. They haven't got into the trends we're stoping, which implies the bigger, more expansive ore zones. So the longitudinal stopes, in my opinion, we're going to have more dilution. I mean, they've talked about not having the amount of definition drilling in front of them, they like to have, and I know, they're pushing to make that happen. And that will certainly improve their dilution management. But I think, as they switch to getting some transfer stopes, which I think are coming in the first quarter of the year, I might be mistaken on that. But I think, that will be a significant - potential significant improvement in the issue as well. I hope that helps.
Andrew Kaip: Yeah, it helps. Thanks very much.
Tony Jensen: Thanks, Andrew.
Operator: [Operator Instructions] The next question comes from Lucas Pipes with B. Riley FBR. Please go ahead.
Lucas Pipes: Hey, good morning, everybody.
Tony Jensen: Good morning, Lucas.
Lucas Pipes: So I wanted to follow up a little bit on the Wassa open pit. Obviously, we saw the announcement yesterday that they will cease operations there in January 2018. And I wondered, if you could give us a little bit more color as to what led to that position and at what point they may return to that part of the project. Thank you.
Tony Jensen: Lucas, let me just - let me make some general comments there, because, we're - obviously, we're not the operator, and we guide most of those specific comments back to Golden Star. But I can tell you - as I said earlier, the good miner is going to be focused on margins. And the highest and best margins they have is through the underground. And they've been able to increase that underground throughput. They've had a very successful startup. You heard Mark talk about the current underground tonnage per day, and I think the plan, where somewhere around 14,000. So they're well, well above that, and they even see scope to go higher. So the high margin ounces are underground rather than open pit. So I'm sure the management team and board just took a look at what the most - best margin ounces that were available, and weighed them against the capital required to deliver those ounces and came up with this decision. It's something that we have been very close to ever since we looked at the project. And so this move to the lower volume, but higher grade, higher margin, is very much what we were anticipating.
Lucas Pipes: Got it. And so, as I kind of thing about the progression of volumes for you, that should have an impact, correct?
Tony Jensen: Well, we - there may not be as many ounces that are produced, because the mill is, I think, at Wassa is going to be really cut in half, and they're only going to be utilizing one ball mill at a time. But the grades are going to be a little higher over time as well. So let us just see what their budgeted projections are for next year. We don't have those yet. But again in our acquisition philosophy, in our thoughts about how we've been thinking about the project, this doesn't come as a surprise to us.
Lucas Pipes: That's helpful. And then, maybe a question to try to put it all together. Obviously, there's been a little bit of the delays, issues at Mount Milligan and the ceasing of the open pit operations at Wassa. And then on the other side of that, of course, we still have some growth coming forward from Rainy River, Cortez, et cetera. So if you try to put it all together, when I think about kind of 2018 volumes, gold equivalent ounces, what does that going to be up year-over-year versus 2017? I would appreciate a little bit more guidance - given all those moving pieces?
Tony Jensen: Yeah, we - Lucas, we don't come out with specific guidance in any particular forward-looking period of time. But what we have said in the marketplace is that we expect continued growth in our company even would offset the declines that we've had. And with regard to specific guidance on calendar 2018, we'll get that probably in the June - well, probably, in the May or so timeframe. We'll…
Stefan Wenger: End of March…
Tony Jensen: End of March quarter. And we'll be able to show you what those numbers look like for the calendar year. But we still, we've got a lot of new good pieces of business, we really haven't spoken on the Q&A about Rainy River at all. But that's starting up faster, if that proves to be the case, will certainly be a big benefit to us. The effect that we see, the Pyrite Leach being accelerated into the end of 2018, now that's going to be a lot of 2019 tonnage. That's also a big positive effect that we've got a little bit of an uptick in our streaming rate at Wassa, Prestea starting in January 1, is another good piece of little incremental bits that all make a difference to us. So no - we don't have any specifics to guide for you at this time, but just generalities.
Lucas Pipes: And then in terms of maybe a range, in terms of growth, if - would that be - should be able to provide that?
Tony Jensen: No. We've not done that. We've been very conservative in how we think about that. So sorry, we're not going to be able to speculate at this time.
Lucas Pipes: Okay. Well, I appreciate all the color. Thank you very much and good luck.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Tony Jensen for any closing remarks.
Tony Jensen: Well, thank you for your interest, and all the great questions on the Q&A session. Now we look forward to continuing a steady and solid performance in the months and quarters ahead. And look forward to speaking with you in the very near future. Thanks for joining us.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.